Operator: Thank you for standing by. And welcome to the Farmland Partners, Incorporated Third Quarter 2024 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the call over to Luca Fabbri, President and CEO. Please go ahead.
Luca Fabbri: Thank you, Rochelle. Good morning and welcome to Farmland Partners third quarter 2024 earnings conference call and webcast. We truly appreciate you taking the time to join us for these calls because we see them as a very important opportunity to share with you our thinking and our strategy in a format less formal and more interactive than public filings and press releases. I will now turn over the call to our General Counsel, Christine Garrison, for some customary preliminary remarks. Christine?
Christine Garrison: Thank you, Luca, and thank you to everyone on the call. The press release announcing our third quarter earnings was distributed after market close yesterday. The supplemental package has been posted to the Investor Relations section of our website under the sub header Events and Presentations. For those who listen to the recording of this presentation, we remind you that the remarks made herein are as of today, October 31, 2024, and will not be updated subsequent to this call. During this call, we will make forward-looking statements, including statements related to the future performance of our portfolio, our identified and potential acquisitions and dispositions, impact of acquisitions, dispositions and financing activities, business development opportunities as well as comments on our outlook for our business, rents and the broader agricultural market. We will also discuss certain non-GAAP financial measures, including net operating income, FFO, adjusted FFO, EBITDAre, and adjusted EBITDAre. Definitions of these non-GAAP measures, as well as reconciliations to the most comparable GAAP measures, are included in the Company's press release announcing third quarter 2024 earnings, which is available on our website, farmlandpartners.com and is furnished as an exhibit to our current report on Form 8-K dated October 30, 2024. Listeners are cautioned that these statements are subject to certain risks and uncertainties, many of which are difficult to predict and generally beyond our control. These risks and uncertainties can cause actual results to differ materially from our current expectations, and we advise listeners to review the risk factors discussed in our press release distributed yesterday and in documents we have filed with or furnished to the SEC. I would now like to turn the call to our Executive Chairman, Paul Pittman. Paul?
Paul Pittman: Thanks, Christine. Series of comments here about both operations and asset sales and the future prospects of the company. The sort of headline is that this was an incredibly strong quarter, on many different levels. It was strong operationally. It was also quite strong in terms of asset sales, although those asset sales, while worked on in most of the third quarter didn't actually close until early the fourth quarter. But when you step back and think about this company, there are two really important themes that we have emphasized over and over. One is that the appreciation of the asset class, meaning the underlying Farmland is a very big part of the total return to an investor in Farmland. We've said that now for probably a decade, I'm not sure the market overall grasps it frankly, but we've certainly said it and we've now proven it. We will have sold in the last 24 months over $500 million of farmland at very, very significant gains to our shareholders. That is really what happens with this asset class. That's why you do it. That long-term appreciation is incredibly powerful. The current yield, as we all know is modest, but it's decent as well. And you think about the company, we will have in approximately 12 month period of time distributed $1.45 to our shareholders. That's a huge return on a $10 or $11 stock price. I don't think the market gives us credit for that. We continue to be seriously undervalued as a company. But what we have said is that we are going to get the value in our underlying portfolio to our shareholders either by seeing the stock price increase or by fundamentally returning capital to shareholders by stock buybacks and distributions. So, we're true to that sort of course of action and we intend to stick with it. Couple other significant things that have occurred, we have cut the debt load of the company by almost half. I have never been very concerned about leverage levels in our asset in the way we run our asset class. We've always stayed right around 40%. There are many investors though who frankly have shared with us their concerns that they would receive less leverage. At this point, we are less levered than we have ever been as a company since we went public. And hopefully, the market will reward us for that. When you think about the value of the underlying portfolio, in most of these phone calls, I'm pretty clear about what I think it is. I think we're valued based on our internal valuations of our assets somewhere in the $16 to $17 per share range. We get to that number by doing an internal valuation of each individual asset that we update from time-to-time. Of the assets that we have now sold, as I said about $500 million of assets in the last two years, we have sold those assets slightly above our internal valuation metrics on average, but not meaningful above, call it 5% or so. But what that does is that gives me incredible confidence in how accurate our internal valuations are. You never really know what a real estate asset is worth until you sell it. But we are making sales that more or less are equal to or just as I said a little bit above what our internal valuations on average say. There is one section of our portfolio where I have less confidence in the actual valuation. A few investors have asked this question and that's our California specialty crop assets. Determining value of specialty crop assets is way more difficult than determining value of row crop farms for the following reasons. The tree health and tree age is a whole another sort of vector of value that you have to think about as well as long-term water outlook, worldwide demand for those crops, so on and so forth. So, it's a much more challenging valuation exercise because a big percentage of your asset base is not raw land. But even if we are mispricing our California assets and our internal work by $50 million to pick a number. This is a stock that still should be worth $15 to $16 a share. So, in any way you look at it, I continue to believe we are trading at a deep, deep discount to underlying value. One of the comments I read on the Internet suggested that we should change our name from Farmland Partners to just partners because we don't own any land anymore. It's a kind of what I call keyboard courage snarky comment from some random person. It's ridiculous. We own $1 billion of farmland more or less still today. We are the second largest landowner in what I believe is the most important ag state in the country and that's Illinois. We are still a very large landowner. We are still very much in business. But not to undermine the point I made. We are going to get that value gap closed one way or the other. But the idea that we're a tiny company and irrelevant is just not true. We're still one of the larger holders of ag land in the United States and certainly among Public Market Choices, one of the larger holders as well. I think the only other comment I wanted to make about the remaining portfolio is that Illinois has always been our most important state in terms of total acres owned and dollars. We think that is the place where appreciation in the portfolio is stronger than anywhere else in the country. And we haven't really even tapped into ever selling those assets. Someday, we will sell them if we need to, to close this valuation gap. But what we think we are doing is gradually concentrating to a portfolio that is of the very, very best quality in terms of land, in terms of appreciation value, in terms of tenant base and we'll continue to do that as time goes by. I'll be back for the Q&A session. But with that, I'm going to turn it over to you, Luca.
Luca Fabbri: Thank you, Paul. I just would like to kind of quickly reemphasize a couple of the points that Paul made. This was a very, very strong quarter operationally, a strength that we've built over the last 18 to the cost control measures that we've put in place and with portfolio restructuring that we've put in place with the transactions that we've done. And the transactions that we've announced after the quarter closed really enabled us to significantly further improve the P&L by reducing leverage very, very materially, and therefore kind of putting our balance sheet in a very, very strong position. I just want to spend a little bit of time quickly on the special dividend that we announced. We announced a range of $1 to $1.10. There are really two drivers behind the special dividend. One, is frankly a tax requirement as a REIT that we have to distribute the gains that we have accumulated over the year. But it's also a very, very strong business signal that we want to send to our shareholders that the gains that we have talked about as being kind of incorporated in our portfolio are very, very real, and we want to give our shareholders a very, very tangible measure of these gains by issuing this special dividend. The exact amount of the special dividend is still a little bit influx. That's why we gave a range, substantially hinged upon the actual performance of the company and the net income in the fourth quarter. In terms of timing, last year, we announced the special dividend. We declared it in mid-December with a record date of late December and a payment in the first half of January. We expect this year to fall in the same timing pattern. Having said that, I will turn the call over to Susan, for her overview of the company's financial performance. Susan?
Susan Landi: Thank you, Luca. I'm going to cover a few items today, including the summary of the three and nine months ended for September 30, 2024, a review of capital structure and interest rates, comparison of year-to-date revenue and updated guidance for 2024. I'll be referring to the supplemental package, which is available in the Investor Relations section of our website under the sub-header Events and Presentations. First, I will share a few metrics that appear on Page 2. For the three months ended September 30, 2024, net income was 1.8 million or $0. 02 per share available to common stockholders, which was lower than the same period for 2023, largely due to the impacts of dispositions that occurred in 2023. AFFO was $1.4 million or $0.03 per weighted average share, which was higher than the same period for 2023. AFFO was positively impacted by lower property taxes and depreciation due to fewer properties, lower interest expense, and increased volume and profitability of crop sales on our directly operated properties. For the nine months ended September 30, 2024, net income was 1.2 million or negative $0.02 per share available to common stockholders, which was lower than the same period for 2023, largely due to the impacts of dispositions that occurred in 2023. AFFO was $4.7 million or $0.10 per weighted average share, which was higher than the same period for 2023. AFFO was positively impacted by 1.2 million of income from forfeited deposits from the first quarter, lower property taxes and depreciation due to fewer properties, lower interest expense and increased volume and profitability of crop sales on our directly operated properties. Next, I'm going to review some operating expenses and other items that are located on Page 5. Property operating expenses were lower for the three and nine months ended for September 30, 2024, caused by lower tax expenses, insurance, and repairs. Depreciation, depletion, and amortization was lower for the three and nine months ended for 2024 caused by asset dispositions in 2023 and more assets becoming fully depreciated, which was partially offset by depreciable assets being placed into service. G&A expenses increased for the nine months September 30, 2024 compared to the prior year due to a one-time severance expense of 1.4 million, which was recognized in Q2. This is partially offset by lower compensation and travel expense. General and administrative expenses increased for the three months ended September 30, 2024, as a result of the company's ongoing cost reduction and is primarily related to lower compensation and travel expenses. Impairment of assets was also lower for the 3 9 months ended, September 30, 2024 from the prior year due to a held for sale asset in 2023 that was written down to its estimated fair value less cost to sell. Gain on disposition of assets was lower for the three and nine months ended in 2024 as no farms were sold during the nine months ended and the current year. Only small fixed asset dispositions, on a few properties were recorded. Note that 2.1 million of the gain recognized in the current quarter relates to the recognition of a deferred gain from a disposition that occurred in December of 2023. Interest expense decreased for the three and nine months ended September 30, 2024 due to lower outstanding debt, partially offset by higher interest rates. Next, moving on to Page 12, there are a few capital structure items that I would like to point out. As of September 30, 2024, floating rate debt, net of the swap, as a percentage -- as a percent of total debt was approximately 20%. As of the date of this call, approximately 100 a 100,000,000 of floating rate debt and approximately 89 million of fixed rate debt has been repaid. Additionally, the swap reduces our exposure of floating rate debt to zero. We had undrawn capacity on lines of credit of approximately $132 million at the end of the third quarter of 2024. And as of today, our availability is at the full capacity of approximately 169 million. Our weighted average cost of debt decreased from 5.34 %percent at the end of Q3 2024 to 5.05% after repayment. As of September 30, 2024, we wave two MetLife loans with rate resets in the fourth quarter on debt totaling approximately $27 million. MetLife term loan number 11 repriced effective October 1st to 5.35%. MetLife number 12 was set to reprice in December. Both of these loans were subsequently repaid in full. Page 14 breaks down the different revenue categories with comments at the bottom to describe the differences between periods. A few points that I'd like to highlight are, as expected, fixed farm rent did decrease by approximately 3.5%. This is primarily due to dispositions in 2023. The decreases in fixed farm land were partially offset by 20 24 acquisitions and higher rents from lease renewals. Direct operations is the combination of crop sales plus crop insurance plus cost of goods sold. It was up by $1,600,000 over the prior year due to a larger volume and profitability of crop sales and lower impairment expense. Page 15 is our outlook for 2024. The assumptions we used are listed at the bottom. We had three acquisitions in Q1 of 2024 and two dispositions of 52 properties in October for a $308 million in aggregate consideration, of which a $189 million was used to reduce debt. No other transactions are included in the projections. On the revenue side, fixed farm rent changes, reflect the full year impact of 2023 transactions, plus the Q3, Q1 2024 acquisitions and a few lease changes that occurred during 2024. In addition, we negotiated to retain all 2024 rent on the properties disposed in October of 2024. Direct operations is up primarily due to higher performance in citrus farms under direct operations. On the expense side, G and A expenses are up due to additional onetime costs related to the FRI transaction. Interest expense declined due to a 189,000,000 in debt reduction that occurred in October, as well as updated forward curves. The forecasted range of AFFO is 11.8 million to 14.8 million or $0.24 to $0.30 per share, an increase of $0. 04 on both the high and low end of the range from last quarter. Because we were able to realize meaningful tax gains on our disposition thus far in Q4, we are anticipating a special dividend to shareholders at year end in the range of $1 to $1.10 per share. This summarizes where we stand today and wraps up our comments this morning. Thank you all for participating. Operator, you can now begin the Q&A session.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions].
Luca Fabbri: And while we're gathering the Q&A, yes, Rochelle, sorry. I just want to address a question that came in via email. It was regarding a subsequent event, that happened in the fourth quarter. We made a $22 million loan for former tenant under our FPI loan program. The question was about the terms of this loan and the interest ratings, specifically. We don't typically disclose interest rate on the -- interest rates on loans that we make. I can say that this was from our perspective, a strong piece of business. Otherwise, we wouldn't have made this loan and that's all I can really tell based on our practices on disclosing this type of information. Having said that, Rochelle, back to you on the Q&A.
Operator: Thank you, Luca. Your first question from the line is from Rob Stevenson with Janney. Your line is open.
Robert Stevenson: Good morning, guys. Luca, what was the annualized revenue on the 52 farms that you sold? Trying to get a feel given that you will continue to collect that and that's in the guidance on how much '25 revenue is going to come down just based off of this transaction?
Luca Fabbri: Yes, Rob. Susan is kind of pulling up that information. So give us a second. If you have another question, we can maybe address another question first while Susan pulls up that information.
Robert Stevenson: Yes. I guess the other question is, crop sales increased pretty meaningfully year-over-year. I think it was $2.6 million, the third quarter this year versus $800,000 last year. I'm just curious as to what drove that?
Luca Fabbri: Yes. This is specifically related to one farm, our Condor avocado farm. We had a very, very strong crop with good crop prices and that was specifically the driver. We also had a good performance on citrus, so that combination really drove those crop sales.
Robert Stevenson: Okay. And then, what does this level of asset sales plus you did -- what you did last year due to your ability to sell any significant amount of assets in 2025 given the REIT rules and all?
Paul Pittman: Luca, let me handle that one. We will probably be if we choose to sell assets, we're waiting to see what the stock price does because it's all about getting either a fair value in our stock or we will continue asset sales. We'll be in a relatively restricted position, very similar rules to what we faced this year, which is probably a limitation to about seven transactions in a calendar year. But as you can see from what we did this year, we're pretty creative about figure if we need to make an asset sale or want to make an asset sale, we'll figure out how to get relatively high volume of dollars transacted and still be within the rules. But we'll be in the same set of rules we kind of face this year.
Luca Fabbri: Okay. And Susan had the answer to your question, Rob. Susan, go ahead.
Susan Landi: Yes. Hi, Rob. Thanks for the question. The full-year annualized revenues for the farm sales was approximately $11.2 million.
Robert Stevenson: Okay. That's helpful. So basically, I mean, you've already I think in the release, it said it was like 10.9 of annual interest savings. So I mean, you're basically net-net, from a net income standpoint, you're going to wind up being mostly whole just off of those two. Nothing is offsetting?
Luca Fabbri: No. Because we also have significant savings for example on property taxes, on maintenance, and so on and so forth. And so we have, it's not just the savings on interest. Yes, we had about $2 million in annualized savings on the cost side as well.
Robert Stevenson: Okay. Even better. Okay. And then last one for me, Luca or Paul, how much [Technical Difficulty] something to right size the common dividend given the massive amount of sales that you've done given your overall size?
Luca Fabbri: You mean rightsize mean reduce or?
Robert Stevenson: Yes, the ongoing common.
Paul Pittman: What we're doing to the company right now, if anything, would lead to an increase in the regular common dividend, not a decrease. On a current yield basis, these transactions are highly accretive. As Luca just explained, we've got interest rate savings plus savings on property taxes and other operating expenses in excess of the revenue that we received. There's other opportunities for some cost control in the company in terms of team size and travel and other things. We have a lot less land to worry about, so things are easier to manage. So this is from a current yield basis, this is an incredibly positive thing for the cash flow of the company. The challenge and the reason that we always are careful when we sell is these farms might appreciate -- might have continued to appreciate quite rapidly and we've now given up our share of that. So, this is there should not be any concern that there's a change in the 2025 year to the negative of the regular dividend.
Robert Stevenson: Okay. That's incredibly helpful. Thank you, guys. Appreciate the time this morning.
Paul Pittman: Yes.
Operator: Your next question comes from the line of Scott Fortune with ROTH Capital Partners. Please ask your question.
Scott Fortune: Yes, good morning. Thanks for the questions. Just wanted to get into the kind of sales, unpack that from a geographic standpoint. I know you're wanting to keep a lot in the corn belt in the Illinois side, but as we calculate the asset closed, $289 million which roughly about $7,000 per acre well above the U.S. average about $5,500. But just kind of your sense for now, what, farms were sold and kind of the percentages kind of weighing out towards the corn belt and now you have still a fair amount in California from that standpoint? Just kind of unpack that sale a little bit farther from that standpoint.
Paul Pittman: I'll take that question. This is Paul. So, most of the assets we sold were in the Southeastern United States, Carolinas, Florida, et cetera, and the Delta, Arkansas, Louisiana, in particular. We also sold most of the land that we owned in Nebraska. So we geographically concentrated these sales. We still own a handful of assets in all of those states, but not very many. And so that's the geography of what we sold. The Delta, in particular, we had some incredibly high quality farms. I'm so sorry to let them go. Wearing the ex-farmer hat, which is what I really am, it made me cry to sell those farms. But we got great value for them and that's what we do. And so, we may build the position back up gradually in those regions depending on kind of what happens with stock price and everything else with the company. As far as the average price, I just want to kind of for educational purposes focus on something. Average price of farmland in the United States is almost an irrelevant fact. The USDA puts it out, it is about $5,500 as you said, Scott. But think about it the following way. You wouldn't find a metric of an average price per room for hotel transactions across the United States to be particularly relevant, right, or roadside rundown hotel in the middle of Kansas and something in the middle of Manhattan or Los Angeles or just completely different markets. That is also true in Farmland. Even on a state level, averages are sort of a little bit misleading on a national level, but shockingly so. The national level with the average price of farmland in Iowa or Illinois will be $15,000, $16,000 $17,000 maybe more for the very good stuff. And if you go to a place like Western South Dakota, there's probably a lot of land trading at $1,100 or $1,200 an acre. And so just be careful with these averages when you think about it. We tend to own higher quality than average farmland in each location we work in, And the state level data is going to get you a little bit closer to thinking about sales prices and stuff. But I just wanted to add that educational note.
Scott Fortune: Yes, I appreciate that. But my point is that obviously your portfolio is still very well positioned in those high, or those high average, the price farmlands, right, in the Corn Belt going forward from that standpoint after these sales?
Luca Fabbri: We will have raised the average value because all of the land that we own in Illinois is probably worth more than that $7,000 an acre average we got on the big transaction.
Scott Fortune: Right. That's the point, which is very valuable for obviously in your shares up. But, follow-up on that, can you provide a little more color on kind of the health of the farmer? Obviously, commodity pricing pressures been there, a lot of volatility. But can I get a sense for the rent increases in 2025? Thanks for providing kind of what's coming off, but your expectations have been about 5% to 10%. Kind of what are the discussions there? What's the expectation for '25 with the rent increases going forward?
Luca Fabbri: Yes. It still continues to be a challenging environment for farmers. I think it's important to note, when I say challenging for farmers, what that means is not as good as the last couple of years. It doesn't mean massive bankruptcies. It doesn't mean huge negative sorts of events and stories in the asset class. And the reason for that is just super simple common sense point. You're not going to drive the worldwide food production system to a negative margin for very long, right? Just think about that for a second. You're not going to drive farmers around the world and particularly in the United States out of business with commodity pricing because the result is starvation. So that's what keeps it so stable. That being said, it's a challenging market. You're going to be here in a cycle where margins are very skinny. Despite what you read in the press, they're still positive and they're positive on a cash flow basis because many, many farmers own a huge portion of their land base. And if you own your piece of farmland as a farmer, outright, meaning that other than property taxes, you have no current cash cost for that land, there is virtually no commodity price that makes production on that land negative. If you don't have a land cost, you will always be making money. That's what keeps these farmers kind of stable through time. So back to your rent question. What I would expect and you're trying to build a model, I'd look at a flat rent projection for next year. We were hoping we could squeeze out a 5% to 10% gain. That's what we've said prior to this in our calls. I don't think it will be quite that good. I personally thought you'd start to get some commodity price recovery in the last little few weeks. We sort of have, but I'm not sure that will continue. And so, we're right in the throes of the rent cycle. We've gotten some upticks in rents, but I think our average will turn out to be flat to, at best, kind of 5% up. That kind of range is where I think we'll settle out for the year.
Scott Fortune: Got it. Appreciate the color. I'll jump back in the queue.
Operator: The next question comes from the line of Buck Horne with Raymond James.
Buck Horne: Hey, thanks. Good morning, guys. Congratulations on all the progress in the transaction so far. Great job. And I kind of wanted to just dive in on the G&A expenses and maybe just help me walk through just conceptualizing what's embedded fully for theirs this year. So am I thinking about it correctly that if you kind of strip out the severance costs and kind of these one-time transaction costs that are showing up here in the fourth quarter, but is there any reason that, G&A expenses wouldn't normalize back to kind of that, let's call it $10 million to $11 million range for next year?
Paul Pittman: So Luca, I'd like you and Susan to address this in detail, but I'll start with a couple of comments to give you some time to think. What we've gradually tried to do is lessen the overheads of the company with some very selective reductions in staff. We're a small company and everybody who's on this team or even been on this team is an incredibly high quality contributor. So this is a difficult thing for us to do. But if you are dedicated to getting the stock price up or alternatively shrink the company and return money to shareholders, you've got to be willing to do that. It's something I've always done through my career. You got it. Anybody can run a money losing company. You've got to figure out how to run one that makes money. And so, we're just very focused on that. So we have reduced travel, reduced at the very most senior levels, me in particular, thought about reducing compensation and have, in fact, reduced compensation somewhat. We made the change at the CFO level. So we'll continue to do those little things. But there's not a lot more that we can do. We are a small, small company already and continued shrinkage is difficult, although we'll certainly look for the ideas. Luca or Susan, if you have anything specific to the Buck's specific question of the range we'd likely to go back to. Go ahead.
Luca Fabbri: Yes. But we're not prepared to address 2025 projections and guidance at this point. But as you noted, I think as we should note in the supplemental, there was a pickup in the forecast range for general and administrative expenses in the latest round. That was -- that pickup was due largely to the costs related to these large transactions. So they are largely onetime events, as was the severance payment to James. So, by and large, if you look at the earlier forecast ranges that did not include those elements, that's probably something that we'll revert to, if not something probably -- hopefully better than that, meaning lower.
Buck Horne: Got it. Got it. Very helpful. And just broadly speaking, maybe this is high level and tell me if you got any anecdotes on this or not, but are you seeing any signs in the transaction market more recently that farmers or potential buyers and/or sellers of farmland are waiting for the outcome of this election, to make any sort of deals or price out valuation ranges? Is there -- would you expect there to be any sort of change in the outlook for farm valuations depending on the outcome?
Paul Pittman: No, I don't. This is Paul, again. I don't think so. One of the things about this asset class is that it's I mean, its own little model, right? I mean, it's farmers are there are actually not very many of them left in the United States. They live in places that most of the people on this phone call just fly over. They have their own world view, their own political views, but at the end of the day, they're out there working hard to produce food every day. And we're in a state, we're in an area of cycle right now where farmland values are basically going to be flat. Like this morning, I was reading about the industry, because I always spend an hour or two in the mornings reading about the industry. I've read two articles both about Iowa. One article was headlined Iowa Farm Values Fall for the First Time Ever. And I think the article concluded that Farmland values have fallen something like 2.5%, 23% to 24% in Iowa. That was the first and all by the way, that's smaller than the measurement error. So I don't know what that really means, if anything. It was something out of the Fed, Kansas, Nebraska, the other states surrounding Iowa, Missouri had increases. But then the second article that I read said there is a piece of CRP ground, conservation reserve program ground, meaning it can't even be farmed. There were two pieces of CRP land in the State of Iowa, one sold at 17,000 an acre and one sold at 20,000 an acre last week. That's farm ground you can only hunt pheasants on. Now it didn't trade I mean, there's not a big like pheasant hunter market. So it didn't trade to pheasant hunters. It traded to some family who's going to wait out that contract for another three to five years probably, and then be able to begin farming the ground. So the demand for land continues to be incredibly strong among these successful farm families and I don't think that changes. As you guys have all heard me say in these calls, this is a prices surge and then they plateau for a while. We're now in one of these plateaus, but they're going to surge again. It's probably a year or two away, but they will surge again. I'm in cycle 5 or 6 in my career now. It's always the same story over and over. But we're in this kind of a little bit of a consolidation plateau phase because of the general farmer profitability. Hope that helps, Buck.
Buck Horne: Yes. That helps. Thanks again, guys. Congrats and good luck.
Operator: Your next question comes from John Massocca with B. Riley. Your line is open.
John Massocca: Good morning.
Paul Pittman: Good morning.
John Massocca: So apologies if I missed this in the prepared remarks, but it looks like there were about $20 million of additional dispositions versus the kind of portfolio that was announced, or completed earlier this month. Can you just provide a little color on what that was and did it look like the larger portfolio deal that you did as well?
Paul Pittman: Yes, those were a series of properties that were sold in Western Arkansas. If you go back to our website, you can probably see what's no longer there, if you want to try to figure it out a little bit. But there's a series of farms in Western Arkansas. They were actually sold to somebody that is going to produce timber on those properties for the purpose. They've been farm ground historically, but they're certainly capable of being high quality timber ground. And I think the company that bought them has kind of an angle that's partly carbon offsets, partly timber production. But they offered us a nice strong price for those properties, and so we made the sale. And I don't remember the exact gains, but it's either slightly above or slightly below what was on the major portfolio. It's a selling transaction.
John Massocca: Okay. And understanding you have a lot of volume on disposition activity to digest at this point. Where does that kind of leave you if you did want to do a transaction in the remainder of the year?
Paul Pittman: In the remainder of the year, we could do a handful of transactions. We're in what's called a seven transaction kind of year. I won't bore you with the complexity of the tax law that drives that, but we have the ability to do seven transactions in a calendar year. I think we've done three or four so far. So there may be a few other this is an active time of the year for buying and selling properties. The fall of the year always is. And so we may have another few dispositions, but we might have an acquisition. So it's -- I don't think there's a [indiscernible], there's not a world shifting event likely in the remainder of the year though.
John Massocca: Okay. And then maybe thinking about the disposition proceeds you have and the kind of uses that were already laid out in the earnings release here. Just kind of rough math when factoring in the special dividend, et cetera. I kind of have you at say, 60 and change, 50 and change of kind of additional capital that, either isn't earmarked for the special dividend or hasn't been used in debt repayment yet. I mean, how are you thinking about deploying that capital, assuming I'm right, in debt repayment or stock buybacks or acquisition?
Paul Pittman: Yes. You're probably a little bit light on our remaining, setting aside borrowing the amount of cash we sort of have left over, but you're close. So the thing that we'll do with the remaining cash is we'll tend to buybacks in the press releases surrounding the large transaction that, that was one of the intended uses of funds. That's still an intended use of funds. We've, of course, been on a blackout period and haven't been able to participate in the market at all, but we certainly will in the coming couple of months. And then we might, as we get close to the end of the year, make additional debt repayments. And then, of course, we have nominally something like $50 million kind of set aside that's going to fund that distribution when we go to make it.
John Massocca: Are there any, I mean, limitations on debt pay downs due to maybe friction costs associated with still on the -- in the debt stack? Or is that pretty open?
Paul Pittman: No. We have the team, Luca, Susan and one of our other important team members, a guy named Rich Keck, they've worked very, very hard. We have essentially avoided debt repayment penalties in these transactions and we'll continue to try to do so. And that's about negotiating rights to repay at least a certain percentage of any loan and relatively liberal collateral substitution rules into the original documentation for those loans. So, we've done a -- thanks to the efforts of the team, we've done a good job to avoid debt repayment penalties.
John Massocca: Okay. I appreciate the color. That's it for me. Thank you very much.
Operator: The next question comes from Craig Kucera with Lucid Capital Markets. Your line is open.
Craig Kucera: Yes, hey, good morning, guys. I wanted to dive a little deeper on the debt repayments you have already done. Did you pay down the swap portion of the Rabobank facility and kind of just eliminate all of that? Or is that still outstanding?
Paul Pittman: Yes, I'm going to turn that over to the team in Denver. Susan, you are going to handle it. Go ahead.
Susan Landi: Yes, so we paid that -- we paid a good chunk of the Rabo swap or the Rabo loan down. We're sitting at roughly $11.8 million at this point, and we have amended the swap. The swap actually, the notional on the swap is covers the full $11.8 million.
Paul Pittman: So just to be clear right now, if you look at the table that will come out on the Q and also the table in the supplemental, the Rabobank loan is still listed at its, kind of notional terms, but it is entirely swap. So you have to look into the footnote. And I believe that the effective interest rate that we are paying on that loan with the swap is 3.81%. Yes. Susan is nodding. So, yes, that's the right number.
Craig Kucera: Okay, great. And just one more for me. Given a somewhat tougher farming environment, are you seeing any additional opportunities to make loans for the FPI loan program beyond what you already did earlier this quarter?
Luca Fabbri: Yes, I'll take that one. Yes, we are. There's probably some opportunity to make loans. And if we can make those loans at a substantial spread to our cost of capital, we'll certainly do so. These tend to be relatively short term loans, meaning year or two length of term. And so we're completely open for business on the loan program subject to getting high quality collateral, number one and number two, a good spread against our cost of capital.
Craig Kucera: All right. Thanks. Appreciate it.
Operator: There are no further questions from the line. I will now turn the conference back over to Luca for the closing remarks.
Luca Fabbri: Thank you, Rochelle, and thank you everybody. We appreciate your interest in our company and look forward to updating you on our activities and results in the coming quarters. Thanks, everybody.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.